Operator: Ladies and gentlemen, thank you for standing by, and welcome to the iHeartMedia Q3 Earnings Conference Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Mike McGuinness, Deputy CFO and Head of Investor Relations. Thank you. Please go ahead, sir.
Michael McGuinness: Good afternoon, everyone, and thank you for taking the time to join us for our third quarter 2020 earnings call. Joining me for today's discussion are Bob Pittman, our Chairman and CEO; and Rich Bressler, our President, COO and CFO. At the conclusion of our prepared remarks, management will take your questions.  Please note that in addition to our press release, we have an investor presentation that you can use to follow along with our remarks. Before we begin, let me quickly cover the safe harbor seen on slide show.  During this call, we will make forward-looking statements, including the current and expected impact of COVID-19 on the company's liquidity, financial position and results of operations. These estimates are based on current expectations and assumptions that are subject to risks and uncertainties. Actual results could materially differ from these expectations and assumptions, and these risks and uncertainties are discussed in more detail in our filings with the SEC.  In addition, as noted in our March 26, 2020 press release, due to the uncertainty surrounding the impact of COVID-19, we reiterate that the company will not be providing full year 2020 financial guidance on this call. During this call, we will refer to certain non-GAAP financial measures. Reconciliations between our GAAP and non-GAAP financial measures can be found in our earnings release or in the investor presentation available on our website.  And now I'll turn the call over to Bob.
Robert Pittman: Thanks, Mike, and good afternoon, everybody. Thank you for joining our third quarter 2020 earnings conference call. I'd like to start by recognizing our employees, who continued their strong performance despite what is the most challenging environment any of us have ever encountered. Despite these challenges, our employees continue to make great strides cross the organization, moving key initiatives forward, building out new products, testing new ideas and serving our communities and our clients. We have developed plans in accordance with the most up-to-date safety guidelines to open each of our markets when their individual local safety criteria are met. And in fact, approximately half of our 160 markets have returned to the office.  And we expect more to open in the coming months. And it's encouraging to see that on average, in Q3, markets whose offices are open are performing about 600 basis points better than markets that are not. Providing us with even more confidence in our post-COVID growth opportunities.  I want to mention a few headlines before I get into the third quarter results. One, we are pleased that revenue continues to recover and improve sequentially. While revenue in the third quarter remained below prior year, it substantially improved when compared to the second quarter and continues to improve sequentially month-over-month. Two, we feel our results this quarter clearly validate the value of our multi-platform product and revenue strategy and the investments we've made in our growth areas. Our revenue is now split approximately 50% broadcast revenue and 50% other revenue lines. These other revenue lines, which include digital and podcasting and networks, all of which are businesses that have been the focal point of our growth efforts had meaningfully better revenue performance than our broadcast segment.  For example, digital grew 17% year-over-year and was still up 8%, excluding the impact of podcasting, which grew 74%. Additionally, SmartAudio, which is a part of our broadcast revenue line also had superior revenue performance down just 12% year-over-year, better than the entire broadcast line, which was down 29% year-over-year. Again, more validation of the transformation and modernization of this company and our growth potential. Three, even in an economic downturn, we continue to invest in our strategic goals, like podcasting to accelerate growth. For example, in October, we completed the strategic acquisition of Voxnest for approximately $50 million.  We believe this addition will be another driver for increased monetization of our podcast business and that will strengthen our position as the number one podcast company as measured by Podtrac. Also, we continue to attract and collaborate with leading creators and creative talents, including the just announced partnership with Malcolm Gladwell's Pushkin Industries, the Black Effect Podcast Network, which we created with one of our leading personality, Charlamagne tha God, a new Latino podcast network, led by our own Enrique Santos, 13 Days of Halloween produced in partnership with Blumhouse and Aramak, Hillary Clinton's, You and Me Both and much more coming from our growing partnerships with Will Ferrell, Alec Baldwin, Shonda Rhimes, Tenderfoot TV and others.  I know many of you were interested in our podcast business, and I will talk in greater detail about more exciting developments there in a few minutes. Four, an important component of our growth strategy is modernization and the related cost savings. We continue to lead the industry in how advertising is bought and sold. We've also developed the studio of the future. Utilizing cloud-based technology and AI that helps us maximize the performance of each market, and we have created centers of excellence across the organization that consolidate key resources for the whole company into one location. All this increasing quality, improving service and significantly reducing cost.  And with that, I'll turn to a few specifics of how this business performed in the third quarter. I'm pleased to report that we have seen strong signs of revenue recovery, with Q3 revenue improving significantly compared to Q2 revenue, with each month through October improving on a sequential basis. While Q3 revenue of $744 million increased 53% over Q2, Q3 revenue was down 22% year-over-year due to the challenges that we and most of the world continue to face as a result of the macroeconomic impact of COVID-19. We're seeing encouraging signs across our markets and in multiple revenue streams that indicate the recovery of our business is gaining traction.  Since our low point of $137 million of revenue in April, monthly revenue has more than doubled in September, increasing to $291 million. Looking to Q4 revenue performance, October increased 2% year-over-year benefiting from a very strong political advertising cycle as well as a stronger business environment. While we don't believe that October results will be representative of Q4 as a whole due to the heavy political spending in the month, we do expect Q4 revenue results to be better than Q3 and to be a continuation of the improving revenue trends. Rich will speak to these monthly trends in greater detail during his prepared remarks but based on what we see now, we expect Q4 revenue to be down in the low to mid-teens.  Let me start with political revenue. This year has been our best year on record. And compared to the last presidential election in 2016, we expect political revenue to be up 67% for the full year. If you compare our total revenues for the company for the just closed month of October, which again we're up 2% to the performance of our markets in battleground states, such as Michigan, Florida and Wisconsin you can see how strong the political impact was, with those markets up 25%, 14% and 12% in total revenue, respectively. While there was clearly unevenness in the political spend by geography, our results demonstrate the value of a broad distribution of markets. It positions us well to take advantage of geographically isolated trends in political spending.  We remain committed to serving our diverse advertising partners with our barbell approach. On one end, we operate as high-touch marketing partners, helping advertisers to craft and deliver a message to their customers. And on the other end, we offer products that allow our advertisers to get to market quickly using our data, targeting and technology capabilities. We also continue to benefit from the diversity of our advertising base, with no category making up more than 5% of our total revenue and no single advertiser, making up more than 2% of our total revenue. Turning to adjusted EBITDA and liquidity.  After reporting a small loss in the second quarter, we're pleased to report that we returned to profitability in the third quarter, generating adjusted EBITDA of $162 million, a $191 million improvement over the loss of $29 million in the second quarter and positive free cash flows of $14 million, a $21 million improvement over negative $7 million in the second quarter. Even as the revenue trajectory improves each month, I will note that the speed of the recovery in advertising revenue is still uncertain and unpredictable. With that in mind and out of an abundance of caution, we remain prepared for a wide range of possibilities through year-end and beyond, including a more drawn out recovery scenario.  As Rich will discuss in detail, we've proactively taken steps to reduce cost, to fortify our balance sheet and to preserve liquidity. One of the great things about this company is its strong free cash flow generation characteristics. The foundation of our company is our unparalleled scale. Our business model has always been to build engaged consumer relationships by providing the best audio content, by having the most trusted personalities and by offering always available companionship to our consumers. We then monetize those relationships across each of our multi-platform products and services. Indeed, behind our return to profitability, our positive free cash flow and our steady progression toward full revenue recovery is the fact that we have a uniquely powerful media platform anchored on our broadcast radio business that we have successfully used as the foundation to build our other platforms.  Our broadcast radio business has the largest reach of any audio company in the country. And now extends across more than 250 platforms and 2,000 devices. According to Nielsen, we're ranked the number one broadcast company in 97 markets in the 18 to 49 audience. And we're ranked number one in 30 of Nielsen's top 50 metros. In both cases, we have about 3x more number one markets than our nearest competitor.  In terms of consumer reach, broadcast radio remains the largest medium in the U.S. and iHeart has the largest broadcast audience in the country by a lot. We are twice the size of the next largest company in broadcast listening and 5x their size in digital listening. This scale also gives us the biggest platform to attract the best on-air talent, including Ryan Seacrest, Charlamagne tha God, DJ ND and Angela Yee of the Breakfast Club, Elvis Duran, Angie Martinez, Big boy, Steve Harvey, Mario Lopez, Ellen K, Bobby Bones, Woody, Delilah, Enrique Santos and many more who are big nationally, regionally and locally as well as the biggest talk show host in America, and it attracts the best creative talent and podcasting as well.  We've also used the unparalleled scale of our broadcast radio platform, and our strong personalities and creators to help build out our many other businesses, like our digital business, which includes our iHeartRadio app and service, which has been downloaded over 2.9 billion times, our newsletters that reach almost 12 million subscribers, our social media following of 223 million fans, which is over 7x larger than the next audio player in social and our digital services associated with our stations and personalities that according to comScore, reached an average of 71 million unique visitors a month in Q3.  Additionally, our broadcast platform has helped build our number one podcast business and our events business, which, although down this year for obvious reasons, has had great success with virtual events like our recent iHeartRadio music festival and the iHeartRadio Country Festival, which actually exceeded last year's live events, both in social impressions and live streams.  This platform has also helped make totally new businesses like the Black Information Network an immediate success. We launched BIN across 15 markets in the second quarter and have since expanded to 25 markets in Q3, including New York City, and we're pleased to report that peak moments of audience engagement have coincided with major news stories, indicating that has established itself as a trusted go to source for breaking news and information in the black community.  As I mentioned earlier, I know many of you are interested in hearing more about our podcasting business. And I want to spend some time discussing this growing part of our company. Podcasting continues to be our strongest performing business line, reflecting the fact that we built iHeart into the number one commercial podcast publisher in America with 252 million downloads a month as of September, which is up 71% year-over-year. In Q3, as measured by Podtrac, we were number one in downloads each month. Our audience continues to be more than twice the size of the next largest commercial podcaster, and we extended our lead over all other ranked podcasters.  Let me share with you our model. We partner with the best content creators in the world, some of who are our very own radio talent, distributor content to the largest audience possible without a paywall and use the unparalleled scale of our broadcast radio business as a built-in marketing machine to drive engagement with our podcast shows. We feel this is an important part of our secret sauce. It's how we continue to build hit podcast after hit podcast and how we continue to grow our leadership position. According to Podtrac's latest data, not only are we number one overall, but we currently have the most shows featured across all categories, and we have ranked shows featured in all 19 possible categories, the most among all publishers.  Let me be clear. Podcasting is already a profitable business for us and has an EBITDA margin that is higher than the overall company margin. Our podcast business is advertiser supported. It's not subscription-based, and it's not behind the paywall, which enables our creators to share their passion with the widest audience possible, and we distribute their podcast, not only on the iHeartRadio app but across as many other distribution platforms as possible. I want to point out that because podcasting is an adjacent business to our radio business, we've been able to use our broadcast radio assets to drive podcast usage and build hit shows. If you think back to a similar situation that television faced and how they missed an adjacent business, which is called Netflix, by the way, we not only did not miss our chance, but we are currently the industry leader in our adjacent business.  To further strengthen our position as the number one podcast publisher, in October, we acquired Voxnest to continue to increase our monetization capabilities. The Voxnest acquisition provides 2 crucial benefits to our podcast business. First, it opens up meaningful additional targetable inventory to our podcast advertisers. And second, it will allow for the more efficient monetization of our inventory by helping to connect the fragmented programmatic marketplaces that exist in podcasting and establishes the first at scale, real-time bidding podcast platform for non-premium podcast inventory.  We believe the addition of Voxnest has the potential to be a significant contributor of growth for our podcast business when combined with the audience, distribution and quality of content that iHeart can provide. As a backdrop to podcasting all of our other growth opportunities, they are made possible because we have a deep connection to the communities we serve. We provide our consumers with the products and services they expect from us regardless of where they are and what platforms they're using. And as our consumers listening behaviors have changed, our leadership position across multiple devices has ensured that they have a multitude of ways for our consumers to engage with us.  Even now as certain areas of the countries have shown signs of returning to normalcy, and people have begun to resume many of their old habits and lifestyles, digital listening on home devices is still up. Consumers continue to engage with our multi-platform offerings at rates equal to, and in some cases, greater than they did in the second quarter lockdown. And our hope and expectation is that we will continue to benefit from consumers having learned to find and use our products across these many new devices.  Early indicators show consumers are sticking with these new habits. IHeartRadio, digital listening has seen double-digit year-over-year growth across digital devices, like up 42% on smart TVs and even up 11% on smart speakers. Since our company reaches 90% of all Americans every month, listening to, understanding and integrating input from diverse voices and views are critical to our business success. As a company, we value diversity, and we respect all voices from both inside and outside our company. At the beginning of 2020, we announced our company our latest steps to enhance diversity at iHeart. With increased focus on recruitment, education, mentorship and accountability.  We remain committed to further increasing the diversity of our organization, from Board diversity to appointing a Chief Diversity Officer, to require consideration of diversity candidates for all of our major hiring and promotion decisions, improving our interviewing process to include a wide representation of interviewers, instituting a diversity, equality and inclusion advisory board. And on the content side, making diversity a real priority. Including pledging that 50% of the new podcast we launch of the iHeart podcast network will be from female and diverse creators as well as a number of major programming initiatives on our stations designed to foster understanding through more diverse voices.  Serving our communities is more than a platitude. It's at the heart of our product strategy. During the pandemic, we built a virtual events business from the ground up, producing virtual concerts and filling the void in people's lives left by missing events due to the pandemic, like commencement, speeches for the class of 2020, our virtual commencement address podcast for graduates. A virtual homecoming celebration for HBCUs and the iHeartRadio music festival, which generated a total of 19.4 billion social impressions. Up 20% over last year's event and more than double the total live stream of last year's live and in-person event. The iHeartRadio music festival owned the night on social media with a hashtag iHeart Festival 2020 trending worldwide in 14 countries and 64 cities in the U.S. Post-pandemic, virtual events will certainly be a new category for us, and we expect it will be accretive to our sponsorship revenue line.  We also continue to pioneer new products and technologies, like the Blumhouse and Aaron Mahnke-produced 13 Days of Halloween, a thrilling horror anthology that used cutting-edge, 3D audio and sets a new standard for podcasting. If you haven't already, I highly recommend that you listen in order to really experience and understand the power of this new audio technology. This is just one more example of our commitment to delivering the entertainment, the information and the companionship that our listeners seek. Rich will take you through the details of our Q3 performance, but I want to leave you with just these few points.  First, scale matters. It bears repeating that broadcast radio remains the number one reach medium in the U.S., that we are the number one audio company in America by a wide margin and that we have used that position to transform iHeart into a true multi-platform company with diverse yet complementary revenue streams. And to use our leadership position to build new businesses like the Black Information Network and our recently launched iHeartRadio sports network. We're encouraged that revenue continues to improve sequentially and that while there is still some uncertainty about the future, we believe that if current macro trends persist, we're on a path to full recovery. Our performance this year has shown the value of our multi-platform and investment strategies as the parts of our business that have been the most resilient and performed the best during the downturn have been our newer diverse offerings.  Our relationship with the consumer has only grown stronger during this downturn. In the past, we've seen consumers turn to us during times of crisis and need. The same has occurred during the pandemic. But on a national scale and for a longer duration, and we expect this strengthened relationship to continue after the pandemic ends. We continue to be disciplined capital allocators with a focus on reducing cost and creating efficiencies. COVID hit everyone hard and quickly, but the economic downturn has continued to prove that one of the core strengths of the company is our free cash flow characteristics. Even during the pandemic, we saw positive free cash flow of $14 million in the third quarter.  Finally, I want to remind you that before COVID hit, we had already taken steps to modernize the company. Investing in growth areas and creating centers of excellence across the organization, resulting in savings of $50 million in 2020 and a run rate of $100 million by mid-2021, both of which we're on target to achieve. When COVID hit, we again took decisive action to further reduce our in-year expenses to help mitigate the impact the economic downturn was having on our business. And to accelerate our modernization efforts by identifying another $200 million of savings. We remain on track to achieve the $200 million of additional savings in 2020 and have plans to make the majority of the $200 million of savings part of our cost structure into 2021 and beyond. This downturn accelerated our discovery of new ways to operate that will make us a leaner, more efficient organization with improved operating leverage that will carry forward into the future as revenue continues to recover.  Before I turn it over to Rich, I want to emphasize that while we are working hard on our recovery through COVID, we are also laser-focused on ensuring that we are well positioned to take advantage of the growth opportunities post-COVID. Rich?
Richard Bressler: Thanks, Rob. The challenging macroeconomic environment which began in April has improved significantly. And while we've experienced a partial improvements in each of the months that have followed and see multiple areas that give us reason for optimism, we continue to experience year-over-year revenue declines. In terms of our third quarter results, if you turn to Slide 7 of our investor deck. On a reported basis, our consolidated revenue decreased by 22% over the prior year period. Direct operating expenses decreased 13%, driven primarily by cost reductions associated with our modernization initiatives as well as those taken in response to COVID-19. In addition, variable operating expenses decreased 13%, in line with lower revenue recognized during the period.  SG&A expenses decreased 11%, driven by cost reduction initiatives and lower sales commissions, which were driven by the decrease in revenue. Corporate expenses decreased 41% during the third quarter compared to the prior year quarter, primarily as a result of lower employee compensation, including variable incentive expenses and employee benefits resulting from expense reduction initiatives. The decrease also included the impact of an $11 million decrease in share-based compensation expense compared to the prior year quarter.  The declines in our third quarter GAAP operating income to $39 million compared to $141 million in the prior year quarter, as well as the declines in our adjusted EBITDA to $162 million, down from $275 million in the prior year quarter, were driven by lower revenue.  Turning to Slide 9. I'll provide additional color on the performance of our revenue streams. In our broadcast business, revenue declined by 29% on a reported basis, while networks declined by 26% year-over-year. Our digital revenue stream grew 17%, driven by continued growth in podcasting, which increased 74% year-over-year. Audio and media services increased by 25% on a reported basis, driven by Cats who benefited from extremely strong political spend, particularly in TV. Sponsorship and events revenue decreased by $27 million or 48% compared to the prior year period, primarily as a result of the postponement or cancellations of physical events, again, partially mitigated by the success of (inaudible) virtual events.  Turning back to our consolidated results, I'll look at the items below the line. Interest expense decreased $15 million compared to the same period in 2019. On Slide 12. There's a summary of our balance sheet. At quarter end, we had approximately $5.3 billion of net debt outstanding, which includes a cash balance of $714 million. Our net debt of $5.3 billion is down over $200 million from $5.5 billion at the same time in 2019. Importantly, we generated $14 million of free cash flow in the third quarter. After having negative free cash flow of $7 million in Q2 2020.  We took early actions to focus on course management and have continued to analyze and address our cost base throughout the year, in order to maximize liquidity to be prepared even if there was a protracted recovery. The fact that we've been able to quickly return to cash generation is proof of our strict cost controls of our sequentially improving revenue trends and most importantly, of the company's strong free cash flow characteristics. As a reminder, the terms of our debt structure include no material maintenance covenants and there are no material debt maturities prior to 2026.  As we look ahead to the fourth quarter, we expect that revenue will remain challenged given the impact that COVID-19 continues to have on the macroeconomic environment and advertising trends. However, we are cautiously optimistic as we continue to see improvements in the rate of year-over-year revenue declines. July, August and September declined 27%, 21% and 18%, respectively. And we just closed the month of October and finished plus 2% year-over-year. Although we recognize that there is still some uncertainty, right now, we project Q4 revenue will be down mid- to low teens on a year-over-year basis. I also want to provide an update on the modernization and cost initiatives that we announced earlier in the year. Together, these initiatives remain on track to deliver the expected $250 million of expense savings in 2020. As we had said previously, we expect our modernization initiatives to deliver $50 million of savings in 2020 and $100 million of annualized run rate savings by mid-2021.  We are fully on track to achieve these segments. We are also on track to achieve all of the $200 million of post-COVID savings in 2020. Further, we have developed detailed plans to make the majority of the $200 million of post-COVID savings permitted as we have developed long-term structural expense savings within our cost structure. These savings include: continued optimization of our real estate footprint, the adoption of technology solutions that will drive increased efficiency and effectiveness in our operations, the centralization of resources into centers of excellence, significant reductions in TV, consulting fees, discretionary spending and employee hiring and continued monetization of our organization. The pandemic forced us to transform the way we do business more rapidly than we could ever have imagined.  And the action we have taken leave us exceptionally well positioned for margin expansion as advertising activity continues to recover. Our full year capital expenditures guidance remains unchanged at approximately $75 million to $95 million, but we will come in on the higher side of the range as we expand capital in Q4 to drive operational efficiencies. We continue to expect minimal cash taxes in 2020 due to the Cares Act. As a reminder, the provisions of the act that pertain to us result in our ability to divest 100% of our 2020 interest expense as well as a portion of interest from prior years that was disallowed and the deferral and potential avoidance due to certain credits we may qualify for of 2020 payroll tax payments.  We also wanted to update you on the company's FCC petition with respect to the foreign ownership of our equity. On November 5, the company received a declaratory ruling from the SEC, granting the company's request to allow up to 100% of the company's equity and voting stock to be owned by non-U.S. persons, subject to individual hold of foreign ownership, and media cross ownership limitations, which continue to apply. This ruling will allow for the simplification of the company's capital structure and enhance the liquidity of the company's Class A common stock by facilitating the conversion of the warrants, which currently represents a little over half of the company's equity. Warrant holders will receive the instructions through U.S. Mail from Computershare, the company's warrant agent regarding how to participate in these change of warrants.  In wrapping up, we believe that our previously announced modernization initiatives and cost savings actions in combination with our resilient capital structure will provide us with financial flexibility and ample liquidity. We are confident in our ability to drive shareholder value through our operational discipline and continued investment in the areas of our business that will position us for growth as advertising demand continues its return. And again, we'd like to thank our employees who have committed to serving our listeners, our communities and our business partners during this challenging time. We appreciate you all joining our third quarter earnings call. And now we will turn it over to the operator to take some questions.
Operator: [Operator Instructions]. Your first question comes from the line of Jessica Reif Ehrlich of Bank of America.
Jessica Reif Ehrlich: You guys talked a lot about the cost savings and the continued benefits from that. So you've been streamlining. How are you thinking about opportunities to invest in growth as you continue on this path of recovery and all the news lately has been really good news. So hopefully sequential -- we'll see sequential improvement, but how do you think about the size of investments and growth in areas like podcasting versus like deleveraging the balance sheet. So it seems like you'll have great operating leverage? And then secondly, can you just talk a little bit about the -- you mentioned -- and it's in the press release, the agreement with Pushkin Industries to distribute (inaudible) content. Is this something that we should expect more of? Can you talk about the economics of the deal like this, how it's structured? What are the benefits to coproducing shows? How does it affect you producing your own podcasts?
Robert Pittman: Yes. Jessica, let me start with the second one, and I'll let Rich jump in on the first part of that. I think on the agreement we announced today with one of the major podcasters, Pushkin Industries, which is Malcolm Gladwell and Jacob Weisberg, who are the founders. I think that what we got and it gets into this whole area about the talent wars in podcasting, is we probably have the best weapon anyone does, which is we have the biggest platform. And if you've got a podcast or you think you're going to have a big podcast, you really want it on the biggest platform. You want to be able to use the power we got of our radio promotional platform behind it. And we've got the largest sales force in audio and podcasting to maximize monetization.  So as opposed to us having to go buy people, we're able to offer them something that's very healthy, which is an opportunity to have the biggest return on their investment, creative investment and dollar investment by joining our platform. And I think if you look at the podcast we have today, we make some -- are completely ourselves with absolutely no profit participants. We have some like this is like doing television show or movies. We have some that have small profit participation, some have larger, some that we do in partnerships, some we coproduce. And it's the full range of it. But for us, we're very cognizant of profitability, and we're very cognizant of margin. And we want to make sure we keep our podcast margin higher than the overall margin of the company. So this indeed is a growth business in every way. Rich, you want to add to that?
Richard Bressler: Yes. Thanks, Bob. And Jess, thanks for the question. Just -- I mean, just one thing I'll end with when on Bob's point on podcasting or to your point on cost. As Bob noted in his opening remarks, the people that are, not just Pushkin, and so if you kind of look back at facts as opposed to what people say to reiterate Bob's point factually whether it was Will Ferrell that we all know about, or Hillary Clinton, or Bobby Brown or Charlamagne and committing to us the Black Effect Network, which is our partnership with Charlamagne. Enrique Santos talked about as remarks, everybody could say a lot of words, but I think the proof is in the facts of our people that are both committed to us and recommitted to us because of our asset base. And the ability for both of us to make money in partnership with all of our talent.  On the cost side, again, we highlighted in the opening remarks, and I think I highlighted in my remarks, that we expect a substantial piece of the cost savings that we announced this year of the $215 million to be permitted. I'm not going to give you any exact number on that because that would really be kind enough to give you guidance, and we're not giving guidance for the rest of this year. Other than Bob's comments, that he talked about on revenue for Q4 or going into next year. But I think like a lot of companies in America we've learned to be, honestly, just wildly more efficient than we've been in the past. And I would say we all, as a management team, that's Bob, myself, or Mike McGuinness who's on this call or the rest of our leadership.  And by the way, also in podcasting. And on the investment front, again, I would just point to the facts over the last couple of years. If you look at the investment that we just announced that Bob highlighting in his remarks of Voxnest, if you look at Jelli that we did, I don't know, about 1.5 years ago or a little longer than that, which, again, as a reminder, was the foundation that makes our broadcast inventory look like digital and gave us a foundation (inaudible) library technology advancements. If you look at StuffWorks, each of those investments were not significant to the company's overall capital structure. Bob mentioned in his remarks about Voxnest seeing about $50 million, approximately $50 million in total. We owned a small piece of the company before. We add Jelli and StuffWorks to that, like all 3 in total are maybe $150 million approximately. But I think the key is that they all make the rest of the iHeart base that much more valuable in terms of the ability to generate EBITDA and most importantly, to generate free cash flow.  And just a final thing I'll add is that I think also to highlight, if you look at our free cash flow in the investor deck, I forget offhand what page it's on, it's towards the end. But even in the toughest operating environment any of us have ever seen, we generated approximately $75 million, $77 million of free -- operating free cash flow this year. So I think that just reiterates whatever environment we're in, the real great free cash flow generation ability of this company.
Robert Pittman: Can I add one other thing to it, too, is that I think on your point, Jessica, when we look at our future and where our growth opportunities are. We look at the pieces that are necessary to make it happen. And we look at, do we make, buy or partner. And when we buy, we want to buy efficiently. We try and buy something that has what we need, but that can benefit from what we can add, so that we don't have to pay outrageous prices for it, we're able to buy the piece, and then we add a lot of value by putting our scale to it. And I think you've seen us do that, as Rich mentioned, with Jelli, you've seen us do that with Stuff media, where we bought less than 5 million unique users. Today, I think our podcast number is over 27 million. So we really added 22 million on top of the 5 million organically. And those are the kinds of acquisitions we go for, ones that we think we get enormous leverage out of and that we think are the most efficient way and the most effective way to get the value creation as opposed to making it ourselves or partnering for it.
Operator: Your next question comes from the line of Steven Cahall from Wells Fargo.
Steven Cahall: Just wanted to dive a little more into podcasting. So maybe first, where did the inventory for Voxnest primarily come from? And we've seen some similar ad tech investments from SiriusXM and from Spotify. And I was just wondering if you think about that as competition at this point? Or is it kind of everybody growing the pie and getting advertisers to commit more funding to this? So is it a market share battle? Or is it kind of a good for the whole industry right now as everyone invests in ad tech?
Robert Pittman: We're seeing a huge expansion of the pie. So I think for the foreseeable future, we're all benefiting from a growing marketplace. I think when you look at Voxnest, what it really allows us to do in simple terms is have an electronic trading platform for our non-premium inventory. We've done extraordinarily well selling the big premium inventory for our -- these very high profile, big podcast we have. But there's always a piece of it that remains unsold. It's not premium inventory in the sense of what podcasting will get on the premium level.  And so by putting an electronic platform together, being able to combine that with data, being able to combine these fragmented podcast marketplaces that are out there and being able to deliver it as a real-time bidding platform, I think, give us a tremendous way to add additional value to what we already have and becomes important to us. And then there's some secondary benefits. There are some tools, there's some ad serving capabilities, et cetera. But I think the marketplace and going after any unsold inventory or getting more efficient with unsold inventory, is a great way to help the bottom line of the company and the top line.
Steven Cahall: And then on ad sales, I was wondering if you could maybe give us what political ad sale dollars were in Q3 and maybe also in Q4? And just as we think about the core trend, is it possible for you to help us think about how core advertising is improving, excluding what the impacts of political might be since that can shift it around on those month pacing that you gave?
Robert Pittman: Sure. Rich, do you want to hit that?
Richard Bressler: Sure. Sure. So first of all, we've said, in terms of political, this will be by far the biggest political year that we've ever had. And just as a reminder, we also benefited not just from the core of the iHeart business, but we also benefited from the fact that we have Cats. Remember, Cats, again in the TV rep business is one of the largest TV rep firms out there. But if you look at it, we were in Q3 political revenue, we were approximately about $40 million. October was up also, and we were about $55 million in October. And then as you look forward, we'll continue to benefit from political. But I'd say November, much less an extent than we did in October, but we'll still get some significant benefits there in total. But just to be clear, so $40 million, October was $55 million.  And then we'll get some benefit in November, which will be less than October out there. And then we continue to see, as Bob, I think, pointed out in his remarks. Just as a reminder, we're dealing all the same inventory here. Clearly, we're getting a benefit from political. We're getting a benefit both within the company and the tightening of the inventory in the advertising market. And then we talk out -- the only thing I'll say about going forward in terms of the value is the guidance we gave for Q4, would be low to mid-teens digit down in revenue, but we continue to expect to see sequential improvement in Q4 compared to Q3, even as we leave the benefits of political as we talk today.
Robert Pittman: Yes. Let me just add to it, to be clear. Without political, we still have seen the sequential improvement of ad revenue, which I think you were asking.
Steven Cahall: Yes. Great. That's perfect. And then last one for me. Rich, you have the cash tax benefit this year, which you called out. As we just think about how you might convert adjusted EBITDA into cash flow next year? Anything else, I mean, you talked about maybe some CapEx stepping up and I guess, become a full cash taxpayer. Anything else we should be thinking about in terms of your cash generation?
Richard Bressler: No. I mean, look, again, we haven't given any guidance, but I would -- as you go through the 10-Q, and again, none of us know what the tax landscape is, we could all speculate, but it's never good to speculate, but none of us is going to know what the tax landscape may or may not look like next year -- any changes. But just as a reminder, as everybody kind of goes through the 10-Q today, we still have some pretty significant tax attributes starting with NOL -- NOLs, excuse me, that we can utilize for the company going forward, obviously, we're including 2021.  And so the bottom line is just going back to what I said earlier, the attributes of this company on the ability to generate free cash flow. I think we've demonstrated this year, and we expect to continue to demonstrate going forward.
Operator: Your next question comes from the line of John Janedis from Wolfe Research.
John Janedis: Maybe a quick follow-up to Steve's question on podcasting. You talked about the EBITDA margins and monetization along with Voxnest. Given the current margins and cost of the content, is there meaningful upside on the margin front in podcasting from here? And I think you alluded to this a little bit. But from an advertising perspective, is that bucket of money coming from a different part of the client budget? Away from traditional broadcast?
Robert Pittman: Yes. Too -- I mean, the good news about podcast is it is sort of the shiny new thing. And I -- look, I'm an old guy, so I go back all the way to when cable networks came about and what's interesting is every time there's been a big economic downturn, the advertiser decided to take a chance on something new. In good times, when you say, hey, I've got a great new idea. These cable networks, they say, sounds great, but my business is doing well. I don't want to rock the boat. When things are not so great, they say, okay, I'll try that new thing. If you look in the recession of '88, that was really the time at which the advertisers begin to give cable networks a shot.  You saw a big upturn in revenue there. In the later '90s, you saw '97, the downturn there, you saw them give a chance to be Internet -- Internet advertising. The turn of the new century, we saw Search emerge. In '08, '09 we saw social emerge, and we're seeing podcasting as that now. And what's interesting to us that we really love about podcast because we're bringing some advertisers into podcasting, who were not major advertisers and anything in audio, much less just radio. And they are pulling the money from wherever they pull it from presumably TV or digital budgets, I think it's probably more aligned with digital budgets in their minds.  And they are making this a priority spend and then things fall behind podcasting. All really good news for us. And I see no signs of that abating. If anything, I think it is increasing. What it also does is it's one more door to get people to do business in audio. We've had some advertisers that have started in podcasting and then decided they wanted to use -- they liked it and want to use some radio too. At first associated with the podcast. Second, to just say, I like the way it works. I'm getting an understanding of audio and the impact it can have.  And so we spread them across our other assets. So if we think about all of our platforms as separate doors, to bring advertisers in. By the way, we've brought some major advertisers into the company initially through events that did not think they wanted to buy radio. Didn't think they wanted to buy audio, they just wanted to be associated with an event and eventually became huge advertisers on radio as well. So we see podcasting as that and probably stronger than we've seen with any other platform. So we're very encouraged by that.
Richard Bressler: And if I could just add one thing. I just want to maybe just come back on one point back to maybe each of the 3 questions so far on Bob's point. I think reinforcing our view. So you have another -- what you view -- I think it's a objective third-party view, is the point that Bob made when we made the announcement today with Malcolm Gladwell. And all the other podcasters we named. I don't have to repeat them. We don't know that (inaudible) you could assume that each of these individuals or teams that chose to come with iHeart all had many, many, many other choices. And while they were choices to go behind the paywall, other very appealing financial characteristics that maybe had more appealing guarantees, yet, not knowing anything. Each of the ones we named obviously chose to come with us. And they chose to come with us for all the attributes that Bob said. So I just think it's another validation and confirmation, not just in the medium but iHeart's place in that medium as it emerges.
Robert Pittman: And Rich, I think going to that point, to hit it head on. We've got the number one platform, and so we don't think we have a need to, and we don't intend to go buy share. We're looking for everything we do, we're looking to be profitable, we're looking to be a nice profit contributor. We put it through a pretty tough screen of economics for us. Now presumably, using our platform and our monetization engine, we probably can get more revenue out of any podcast than we think anyone else can. So it gives us the ability to perhaps reach a little further, just like with air talent, we have the ability to spread talent across multiple markets or to put them in a situation where they have a bigger platform. Therefore, the economics are better for them and better for us. So we see that in podcasting. And we are so far have been successful with that. We continue to -- the deals we've done is help people build hits, which, by the way, the more people we help build hits, the more people want to come to this platform for us to build them their hit.
John Janedis: That's helpful. And Rich, maybe a quick one. The release mentioned potential reduction in real estate footprint. I'm wondering if that includes potential asset sales?
Richard Bressler: No. Look, let me take one step back. So we have nothing -- there's nothing that's planned in terms of any asset sales, I think we -- not I think, we do have one job in this company, and you've heard Bob and I say it time and time again, which is to focus on driving the equity value of this company and driving the value for our stakeholders. So we're constantly challenging ourselves as to what the right asset base is today, I think Bob hit it head on and put a very fine point on it. We don't -- we reach 93% of Americans.  When you look at all of our slots where there's podcasts or digital or all of our attributes, we don't see a need to add anything. And at the same time, as you go back over the last couple of year period of time, right down to the towers sale-leaseback we did a couple of years ago. We're saying, gee, what's the best financial transaction to do that gives us and maintains our strategic footprint, drives EBITDA but constantly keeps this unique asset base together in terms of size and scale and reach and uniqueness. So I don't see that's a little bit of a long-winded answer. But it combines both.  But with the filter we have, I think Bob used the turn filter a number of different times, whether it's capital allocation, however you think about the term filter. Sales are in that same filter, but I don't see anything out there today that's going to come on to the market for us.
Robert Pittman: Let me also talk to the real estate. Rich, back just at the real estate point. Sure. I think that -- and we said it before, I just want to say it again? That we've learned a lot through COVID. And our people, if you think about it, they've had 10 years of technology learning in the 3 or 4 months. And as a result, we envision operating differently in terms of how we operate our space. I think they're going to be, although I think everyone will probably come to the office some, I don't think we're going to have the need for the same amount of space, even with the same number of employees, understanding that some people can get a lot more of their work done outside the office and don't have to be in the office, 100% of the time. And how they work and where they want to work in the office has also changed as a result of COVID. And I think we're taking that into account, and we're going to move aggressively on downsizing our footprint to accommodate that.
Operator: Your next question comes from the line of Jim Goss from Barrington Research.
James Goss: In terms of downsizing your footprint, do you think, could that involve station sales, for example, might you not need to be in some of the smallest markets, for example?
Robert Pittman: Let me hit that head on. When I said footprint, I mean, in each location, we'll make do with less space than we have. We have no intention of walking away from any of our locations. And I think you see one of the real strategic values of this company that makes it different from everybody else is how many locations we're in. We're in 160 markets with owned stations. There's no one in America that comes close to that, radio or TV. And having that kind of distribution and that kind of control lets us offer things to advertisers, no one else can.  It lets us develop these -- the value of scale. And indeed, you saw it in this political season is if we're everywhere and we're this kind of footprint, no matter what states are hot or cities are hot, we probably got a product there to take advantage of it. So we like that. We think it's one of our strengths. We don't see a need or value in reducing that because we think that's one of our strongest strategic differentiators. I mean, in radio, we're the only radio player that really offers national coverage with our own stations in addition to our networks. And I think that makes us very unique.
Richard Bressler: Yes. And Bob -- Jim, if you wouldn't mind me just adding one thing to what Bob just covered. I think if you actually go back to Bob's opening remarks and those 4 points that I'll highlight in this company about our future and our growth strategy. One of those points was modernization, and we said end related cost savings. So it's a lot more than just cost savings. It's also developing the studios of the future that we've talked about utilizing cloud-based technology. And really taking advantage of AI, as Bob noted, after these number of years of investment and the experience of our team that really helps us maximize the performance, not just on advertising front.  But quite frankly, on a listener front, on a programming front in each of our markets. And we've created centers of excellence across the organizations. They really consolidate key resources for the whole company to take advantage of increasing quality and improving costs and prudent service, I'm sorry. Cost reduction happens to be a benefit of that and a by-product of that, but we are improving quality and service at the same time for our listeners. And so I don't think -- Bob and I really need to emphasize that when we talk about footprint and efficiencies, it really is on both sides.
Robert Pittman: And then Rich, if I can just add to that because I think that's an important point that we should make sure to get out is we talked about how many markets we're number one in. And I think the reason we have that kind of audience advantage is because of the quality of the programming we do. And we've made great investments in tools to help our programmers. And one of the things we have today is, I think we have, if memory serves me correct, something like 3,000 data inputs into music selection, music balance, understanding how the flow goes.  At that level of data inputs, a human mind can't absorb it, but AI can. So we built AI over time that can assist the people making those choices so they can make higher quality choices. And those kinds of things we've been building over the years are, I think, paying dividends and you can see it in the performance of the company. And we can -- so yes, it'll save money. Yes, it will make us more efficient. But I think primarily, it will make us better.
James Goss: I was thinking of asking whether you were doing an additional multicasting using the top-tier talent that you have. But now I'm wondering if with the AI, that you've mentioned, I think in the past calls. If instead, you may look at spot loads, and maybe have fewer but perhaps more expensive ones and try to address a revenue situation that way, maybe not just now, but going forward as the economy begins to improve, hopefully, with the new vaccine?
Robert Pittman: Well, look, we look at everything. And I will say, though, we have not found spot loads to be an issue since the cassette player went into the car decades ago. Radio has not been the place you go if you want no commercials. Radio has been the place you go if you want companionship, and you want to find out what's going on in the world. And I actually think that if you've ever listened to a radio station with no commercials on it, you feel a little lost because those commercials actually tell you an awful lot about what's going on. That people are not coming to us for music for the primary goal because probably 25% of our stations don't even play music.  They come to us for companionship. We're keeping people company. And what do people do when they have a relationship, they often play music for each other. So that's the reason we play music, we talk about it a lot. We have the people on the air who may get to talk about it. And part of our mix are commercial. So again, that's not a problem we're trying to solve for. We're trying to make sure that when people tune to us, that they indeed are engaged, they bond with us and it becomes a habit for them.
James Goss: Okay. Maybe lastly, with this more optimistic look at a potential vaccine or multiple vaccines. What impact do you think that would have on maybe trends accelerating anything with your business model?
Robert Pittman: Right. That's a really good question and one we've been talking a lot about before today and certainly today, that I think the vaccine is certainly encouraging news for society, but certainly for our business, too. There have been harder hit categories which haven't come back much. From Q2 to Q3, a lot of our growth came from categories that were down a lot in Q2, and are just beginning to come back, like food and beverage, auto, restaurants, retail. But if we get a vaccine, we can see the return of some big spenders like movies, concerts, some of the retail that has not come back so much. Local businesses like the local restaurants. So we think it's -- it has a tremendous -- can have a tremendous impact on our business and are watching it carefully.
Michael McGuinness: So maybe we have time for one more question, operator.
Operator: Unfortunately, we don't have any further questions at this time. I turn the call back over to Rich Bressler.
Richard Bressler: Well, first of all, I want to thank everybody on behalf of all of us for taking the time today. Thank you for listening to the iHeart story. One thing I will just add in closing, is that because I know for the last couple of years, when Bob and I have met and talked to a lot of you, we had constantly gotten the question about when we were going to get approval from the FCC. And I know it was in our press release and in my opening remarks. But I just want to reiterate that the FCC has approved the ability for our warrant holders to convert into Class A. There's a process they need to go through, which is on the website. We don't need to go through right here, but it's a fairly automatic process that will allow people to convert in the beginning of January, which will double -- approximately double the public float of our market capitalization out there.  So again, that's been, I think, over -- at least some period of time, close to the number one question we've gotten from people. So I just wanted to proactively reiterate that before we close, and thank everybody again.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.